Operator: Good day and welcome to the Reliance Global Group Third Quarter Business Update Conference Call. [Operator Instructions] It is now my pleasure to turn the floor over to your host, Ted Ayvas, Investor Relations at Reliance Global. Sir, the floor is yours.
Ted Ayvas: Thanks, Tom. Good afternoon, and thank you for joining Reliance Global Group’s 2024 third quarter financial results and business update conference call. On the call with us today are Ezra Beyman, Chairman and Chief Executive Officer of Reliance Global Group; and Joel Markovits, Chief Financial Officer of Reliance. Earlier today, the company announced its operating results for the quarter ended September 30, 2024. The press release is posted on the company’s website, www.relianceglobalgroup.com. In addition, the company filed its quarterly report on Form 10-Q with the U.S. Securities and Exchange Commission today, which can also be accessed on the company’s website as well as the SEC’s website at www.sec.gov. If you have any questions after the call or would like any additional information about the company, please contact Crescendo Communications at 212-671-1020. Before Mr. Beyman reviews the company’s operating results for the quarter ended September 30, 2024, we would like to remind everyone that this conference call may contain forward-looking statements. All statements other than statements of historical facts contained in the conference call, including statements regarding our future results of operations and financial position, strategy and plans and our expectations for future operations are forward-looking statements. The words anticipate, estimate, expect, project, plan, seek, intend, believe, may, might, will, should, could, likely, continue, design and the negative of such terms and other words and terms of similar expressions are intended to identify forward-looking statements. These forward-looking statements are based largely on the company’s current expectations and projections about future events and trends that it believes may affect its financial condition, results of operations, strategy, short-term and long-term business operations and objectives and financial needs. These forward-looking statements are subject to several risks, uncertainties and assumptions as described in the company’s Form 10-K filed with the U.S. Securities and Exchange Commission on April 4, 2024. Because of these risks, uncertainties and assumptions, the forward-looking events and circumstances discussed in this conference call may not occur, and actual results could differ materially and adversely from those anticipated or implied in the forward-looking statements. You should not rely upon forward-looking statements as predictions of future events. Although the company believes that the expectations reflected in the forward-looking statements are reasonable, it cannot guarantee future results, level of activity, performance or achievements. In addition, neither the company nor any other person assumes responsibility for the accuracy and completeness of any of these forward-looking statements. The company disclaims any duty to update any of these forward-looking statements. All forward-looking statements attributable to the company are expressly qualified in their entirety by these cautionary statements as well as others made on this conference call. You should evaluate all forward-looking statements made by the company in the context of these risks and uncertainties. Having said that, I would now like to turn the call over to Ezra Beyman, Chairman and Chief Executive Officer of Reliance Global Group. Ezra?
Ezra Beyman: Thanks Ted. Good afternoon and thank you to everyone for joining us this afternoon. We are pleased to report a highly successful third quarter, marked by robust revenue growth and effective cost management. This reflects our commitment to driving sustained revenue while reducing expenses, leading to significantly improved net financial results. For the quarter ended September 30, 2024, revenue grew by 5% to $3.4 million, while total operating expenses declined by 16% to $3.9 million. This positive shift significantly improved our loss from operations by refreshing 64% despite a 13% rise in commission expense due to higher first year commissions. Net loss for the quarter was approximately $837,000 when compared to the prior year’s third quarter net loss of around $139,000 or $1.8 million when adjusted to exclude the $1.7 million gain from the fair value of warrant liability as this instrument was largely liquidated in 2024. This quarter’s net loss reflects an improvement of approximately $1 million or 54% over the previous year’s comparable quarter. Furthermore, we are very pleased to report that this quarter brings positive adjusted EBITDA coming in at approximately $42,000 gain, representing a 121% increase from the same period in the prior year, so positive. These highly positive financial results underscore the success of OneFirm strategy, which unifies our owned and geographically dispersed insurance agencies into a cohesive, collaborative operation. This approach enables efficient cross-selling, collaboration and optimized use of human capital. The benefits of the OneFirm strategy are evident in this quarter’s revenue growth, reduced operating costs and positive shifts in net results. We feel strongly that our disciplined approach strengthens our financial foundation and paves the way for sustained growth and long-term value creation for our shareholders. We also remain focused and highly energized in anticipation of a close in the coming months of the previously announced acquisition of Spetner Associates, Inc., a leading voluntary benefits insurance agency provider to over 85,000 employees nationally. We are confident that the integration of Spetner will close to double our consolidated revenues and serve as a catalyst for additional accelerated revenue growth by having an expanded combined range of service offerings, enhancing our market position and paving the way for sustained profitability and longer-term success. Since we originally announced our plans, we have become even more excited about the future prospects for the acquisition. Spetner managed voluntary benefit insurance segment has experienced significant growth, more than doubling the number of covered employees they serve from 45,000 when we initially announced the planned transaction to more than 85,000 today. By aligning Spetner’s innovative benefit solutions with our strategic goals, we are not just driving growth we are setting a new industry standard and bringing enhanced services to a broader audience. We are committed to establishing Reliance as a powerful technology-driven enterprise that prioritizes sustainable profitability. Our mission continues to focus on building a multibillion-dollar, highly profitable business enterprise at substantial and sustainable returns to our shareholders. This game-changing acquisition marks the beginning of a transformative period for Reliance, and we believe the acquisition of Spetner Associates with its unique voluntary benefits program and extensive market reach will create substantial synergies and significantly increase – I’m sorry, significantly accelerate Reliance’s growth trajectory as we expand our personal insurance offerings through the RELI Exchange platform. Additionally, in the third quarter of 2024, we launched an AI-powered commercial quote and buying solution on the RELI Exchange platform ahead of schedule. This cutting-edge solution encompasses a broad spectrum of commercial insurance policies. By leveraging AI, our commercial quote and buying platform transforms the traditionally time-sensitive quoting process, enabling agents to offer clients faster, more competitive quotes and seamless policy bonding. This accelerated workflow not only enhances client satisfaction, but also empowers agents to unlock new revenue streams and increase commission potential, directly benefiting RELI Exchange through its commission sharing model. As I mentioned earlier, and I have stated in the past, our goal is to transform Reliance into a highly profitable multi-billion dollar enterprise that consistently delivers exceptional returns for our shareholders. We are committed to driving sustained growth and strengthening our market position through strategic initiatives, innovation and disciplined fiscal management. We are excited to advance on this path, and we are confident in our ability to achieve financial success. As we discussed in our second quarter conference call, we significantly simplified our capital structure pursuant to exercise of all outstanding Series B and Series G warrants, which we believe has eliminated the potentially perceived significant warrant overhang that may have adversely impacted our publicly traded share price. As we continue executing on our growth strategy, including the planned acquisitions, we believe our enhanced capital structure will enable us to unlock significant value for shareholders. I would like now to turn the call over to Joel Markovits, Chief Financial Officer of Reliance Global, who will review the financial results for the quarter ended September 30, 2024. Joel?
Joel Markovits: Thank you very much, Ezra, and good afternoon. It’s great to be here with you all today. It’s going to be a pleasure to share with you some key financial highlights for the third quarter ended September 30, 2024. All figures presented are approximates. As Ezra mentioned, it’s been a great quarter with increases to top line revenues, decreases to operating costs and vastly improved net results. So, let’s get into the details. Revenues for the quarter ended at 9/30/24 increased by 5% from the same period in 2023 or from $3.3 million to $3.4 million rounded, which represents a $175,000 increase. For the year-to-date period ending 9/30/2024, revenues increased by 3% or $350,000. These strong growth trends are attributed primarily to organic growth, which is telling and a good indicator about the future positive prospects for the company. Total operating expenses for the quarter decreased by around 16% or $760,000 compared to the prior year’s quarter. This resulted in a very invigorating change to our loss from operations, which improved by 64% or close to $1 million. Our OneFirm approach and strategy to doing business is proving to provide significant returns as we cross utilize talent and consolidate vendor contracts and results shine through the quarter’s financial results. As illustrated, by the 5% efficiency rate in salaries and wages, 23% decrease in general and administrative costs and 15% decrease in marketing and advertising costs. For the nine months period ended, 9/30/2024, total operating costs increased by 19% due primarily to a $3.2 million intangible asset impairment charge. However, when removing the impact of this impairment, which had no bearing on operations of the company, net total operating expense actually comes in lower by around $1.2 million or 8% versus the same period in the prior year. Staying with this analysis, loss from operations also improved by 35% or $1.5 million. Turning to EBITDA, our adjusted EBITDA metric, a non-GAAP measure, but key company performance indicator, which came in at a $43,000 gain for Q3 of ‘24, effectively a $243,000 or 121% improvement from 2023, and for year-to-date, this year versus last year, EBITDA results also improved by around 55%. So, hopefully these financial highlights are helpful. And to close out our prepared remarks, let’s conclude with, we are absolutely thrilled to be at the tail end of the acquisition process for the Spetner M&A deal, which is expected to further increase our revenues and EBITDA. Honestly, this really drives home the execution of our mission to build a highly profitable business enterprise through expansion and innovation, both organically and with M&A, strengthen our market share and provide meaningful returns and long-lasting value to our shareholders. With that, we will hand back the line to the operator to kindly open the line for any questions, comments or other feedback participants may have. Operator?
Operator: [Operator Instructions] And we have a question from Nick Pincus [ph] from Morris Capital. Nick, your line is live. Please go ahead.
Unidentified Analyst: Congrats everyone on achieving positive adjusted EBITDA, a very big milestone. Spetner also appears to be generating very strong cash flow. I was wondering if you could just provide some more color on the synergies and additional cost savings that could come with the acquisition.
Ezra Beyman: Thank you very much. I am going to actually share this with Joel as well. But first of all, on the – it’s almost – it’s phenomenal, the potential for the cross-selling. Remember, we are dealing with, as we mentioned, over 85,000 employees. They all need – aside from the benefits they are getting through this program through Spetner, they all need auto insurance, home insurance, other types of insurance that we sell. And the really exciting part is when we did our testing of 5 Minute Insure a little while ago, the savings are so substantial, in some cases, 30% to 60%, we think we could have a pretty decent ratio of interested customers in making those changes. So, that could be really exciting when you are dealing with the amount of people here. And of course, the back-office, which we have already been trimming, as we mentioned, but using – utilizing Spetner’s phenomenal technology is really way above average. We think that could also help us in streamlining expenses and back office support. So, I think all around, it’s a win-win. It’s a company that has been growing. We mentioned before, this is a very strong business that’s ready in its fourth generation. So, I think it’s – we are all excited, really is. Joel, anything?
Joel Markovits: Yes, sure. Just to build on what Ezra was saying, thank you for that. There is very strong revenue at Spetner, close to $14 million or $15 million a year. And our EBITDA margin is very healthy at around 40% or even north of that. So, that should provide significant benefits as we merge together as one company. We definitely increase our revenues, almost doubling essentially and the costs are limited that we are going to have to assume. So, we are excited about that.
Unidentified Analyst: That’s all really amazing, especially when you put that in perspective of the current market cap of the company. I am just wondering, following the acquisition, it will be a good problem to have, but what would be your plans for the excess cash flow? Would you consider buying back stock or other things?
Ezra Beyman: That’s certainly a possibility. We – the stock we feel or most people in the industry feel it’s a bargain of the century. So, I think we would want to take advantage of that. And in the past, have already bought significant blocks of stock. So, that may be the company re-buying. That’s definitely on the horizon, yes. And of course, growing the company and also using the extra cash to growing the company, whether it’s getting new lines, and advancing technology and/or acquisitions. So, we want to be – deploy the capital smartly.
Unidentified Analyst: Congratulations. Thanks.
Ezra Beyman: Thank you very much.
Operator: [Operator Instructions] And there are no further questions in queue at this time. I would now like to turn the call back to management for closing remarks.
Joel Markovits: Thank you very much. On behalf of Ezra and the entire Reliance team, we appreciate your participation in this business update. We are truly excited and energized by Reliance’s prospects and very happy to be sharing this onward journey with you, our valued shareholders and other interested parties. Until next time, we wish you a very good rest of the day and all the very best.
Operator: Thank you. This does conclude today’s conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.